Operator: Good day, and welcome to the Lowell Farms Inc. Second Quarter 2022 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today’s presentation there will be an opportunity to ask question. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Bill Mitoulas of Investor Relations. Please go ahead.
Bill Mitoulas: Good afternoon, and welcome to the conference call to discuss Lowell Farms Incorporated financial results for the fiscal second quarter of 2022. Before we begin, please let me remind you that during the course of this conference call, Lowell Farms Incorporated management may make forward-looking statements. These forward-looking statements are based on current expectations that are subject to risks and uncertainties that may cause actual results to differ materially from expectations. These risks are outlined in the Risk Factors section of our Form 10 filed on EDGAR and our listing statement filed on SEDAR. Any forward-looking statements should be considered in light of these factors. Please also note that any outlook we present is as of today, and management does not undertake any obligation to revise any forward-looking statements in the future. This call includes George Allen, Chairman of the Board; Mark Ainsworth, Co-Founder and Chief Executive Officer; as well as Chief Financial Officer, Brian Shure, who will go into detail about the Company's financial results for the quarter later in the call. The Q&A portion of this call will be open to analyst questions to provide further insight into the Company's performance, operations and go-forward strategy. For those of you who may happen to leave our call before its conclusion, be advised that this conference call will be recorded and archived on our Investor Relations website page. And now I'll hand the call over to George. George, please go ahead.
George Allen: Thank you, Bill, and good afternoon, everyone. In terms of financial results, this quarter was obviously a disappointing quarter for Lowell. Lowell Farms fell short of several of our goals during the quarter, as market conditions in California continued to be exceptionally challenging given oversupply in a consumer that is under budgetary pressure. This is compounded by a cost structure that is experiencing the same inflationary pressures everyone is experiencing. Ironically, we think the market conditions could not be more right for the launch of our much anticipated Lowell 35's product, which I'm excited to announce we'll hit the shelves this quarter. The product is priced to bring a new form factor into California with a value proposition that is more compelling than anything else in the market. And before I talk about the 35's, I want to talk briefly about the second quarter and our liquidity. During the second quarter, we saw a surge of price action by our competitors, especially in the flower category. We deliberately made the choice not to lower our prices to chase volume at the sacrifice of margin. We were guided by the belief that flower prices have dipped below sustainable levels, and since we have found it nearly impossible in cannabis to raise prices, we elected to refrain from aggressive price reductions in order to protect our brand and our volumes suffered. This largely manifested itself in a CPG revenue figure for the second quarter that was immensely disappointing and well short of our guidance. While our farm produced a record volume of cannabis during the quarter, the bulk market for flower continued to be soft, albeit slightly higher than the first quarter. Now the primary culprits for our challenges are an oversupply of cultivation output in California, coupled with a large portion of our business, which is subject to commoditization, namely bulk flower sales and a large portion of our CPG sales. As the cultivation oversupply, we don't see it fundamentally changing even though we do see some evidence of capitulation in the market. However, we suspect that many of these operators on the margin will simply shift into the illicit market in an effort to stay afloat and thereby extend the oversupply problem. While cultivation tax relief was helpful, and we'll retain some of that margin in Q3, we expect most of the savings to get passed along to retailers and ultimately consumers given the power balance of an oversupplied market. As the CPG concentration, too many of our CPG products are commoditized and have comparable alternatives from our peers. This book of business will only improve when we see meaningful attrition among our peers. We are seeing encouraging evidence of that attrition, as Q2 represents the second quarter in a row, where more brands left the market than entered it. We also hear from our retailing partners that they are cutting back on vendor count, as they’re growing weary of vendor reliability issues that complement this challenging market environment. Now the best vector for us to pursue is products, which are contiguous to our Lowell pre-roll brand, which has no peer in California. With the launch of the Lowell 35's, we're extending that leadership by bringing a product to market that we have been designing and engineering for over two years. With the completion of the All Good transaction we announced earlier this year, we have the final components to bring the 35's to market, which we will be doing later this month. Now the elephant in the room is our liquidity. We entered the quarter with 2.2 – we ended the quarter with $2.2 million in cash, $3.7 million below our March balance. And we've been in active dialogue with existing investors about an incremental capital raise, but that raise is not yet complete, and it would be premature to comment on terms. We recently factored an IRS receivable for $2.4 million that helps with current liquidity and capital equipment investments associated with the 35 launch. While the market backdrop is exceptionally challenging for Lowell, we do think it is in an ideal environment for the launch of the 35's. The value proposition behind the 35's is exceptional. It's a step function improvement in quality over current pre-roll offerings, while simultaneously bringing it down to a price point as competitive with flower. Now this has been a dream of ours for a very long time. We believe that over time, we will not only take share from the pre-roll market, but also from the jarred flower market. We estimate that 90% of cannabis, inclusive of the illicit market is sold to people, who consume weed on a daily basis. And we think this is one of the first CPG items that presents a differentiated alternative to that consumer. We are excited about our launch, and we'll look forward to giving you our initial feedback on our next earnings call. I'll turn it over to Mark.
Mark Ainsworth: Thank you, George, and good afternoon, everyone. I will review each of our divisions to discuss performance. I will start with cultivation. In cultivation, we continue to show output gains and experienced record yield levels. We saw three records broken. Wet weight harvest of 4,600 pounds, a single room dry harvest weight of 415 pounds and breaking 12,000 pounds of total flower, a 43% increase from Q1 in a single quarter. While we anticipate peak yields in Q2, the record output a strong testimony to our cultivation team. We know of no other operation in the country that achieves the yield density that we do. Our LFS business continues to show promise, as we added a small handful of new customers during the quarter. Included in our LFS sales figures is approximately $1.3 million in bulk flower sales sold on behalf of our LFS customers at little to no margin. Service revenues of $731,000 were up over 100% relative to the first quarter service revenues of $350,000. As we highlighted last quarter, we are transitioning our customer base from seasonal outdoor customers to a steady year-round customer base of greenhouse growers. Our 4-wall cost of drying and processing flower is roughly flat to Q1 at $154 a pound, and we are currently operating the facility at approximately 40% total capacity, inclusive of our own flower that we process on site. While we expected a surge of demand during the year driven by enforcement actions within the county cracking down on unsafe drying conditions, we saw a delay in the enforcement action by the county, as they continued to permit non-compliant drying space despite the hazards therein, in an apparent effort to show flexibility to the cannabis community during these challenging times. We are very bullish on this business, and it remains unique within the state. When enforcement action does come, we anticipate that most local operators are going to elect using our service in lieu of the expensive option of building their own compliance facilities given that most local operators are several quarters behind on their county cultivation taxes and lack capital for the necessary CapEx improvements. Bulk sales, our Lowell Farms flower continues to sell at a premium over other local greenhouse growers thanks to a stable of unique genetic and bag appeal that rivals indoor flower. We continue to get premium of approximately $100 a ton over local operators, every penny counts in this market.  Having said that, our comments last quarter about elevated pricing in Q2 versus Q1 were a bit premature. In June, the market price for flower took a step down that we had not anticipated, and while the overall price for bulk flower rose slightly during the quarter, it was short of our expectations. The team made up for the shortcoming on pricing by moving more volumes. During the quarter, we sold 6,346 pounds, a 76.8% increase than in Q1. CPG sales, CPG sales were disappointing during the quarter. Sales from our own brands declined 18% sequentially, driven largely by declining volumes within the packaged flower category. As we have mentioned before, the packaged flower category is witnessing sustained pricing pressure for wholesalers, a trend we intentionally did not follow at the expense of lower overall sales volumes. According to Headset, our wholesale price per gram declined 2.6% quarter-on-quarter, while average pricing from other top flower brands declined as much as 30%. Fortunately, lower volumes in the packaged flower category were partially offset by sales growth in the pre-roll category. In mid-July, we restructured our sales operations in California by removing a middle layer of sales leadership and reducing our sales commissions. Out-of-State, collectively, Out-of-State revenues fell from $723,000 to $274,000 from Q1 to Q2. The drop included a decline in royalties from $389,000 to $263,000. The decline in royalties is something we are addressing with our partner, Ascend Wellness, as we have had challenges with inventory levels, as Ascend is still largely using manual processes for its manufacturing and has reportedly struggled to maintain inventory levels. Additionally, the quality issues that we highlighted last quarter still appear to persist, but we are working closely with a receptive partner to address them. We anticipate launching Colorado and New Mexico late in the third quarter with Schwazze, and we are very excited about the prospects in those markets. With that, I will turn it over to Brian.
Brian Shure: Thank you, Mark, and good afternoon, everyone. Before I begin, please note that we are reporting our Q2 2022 results in U.S. GAAP and a portion of my commentary will be on a non-GAAP basis. So please refer to today's earnings release for a full reconciliation of GAAP to non-GAAP results. We report all figures in U.S. dollars unless otherwise indicated. I would also note that these results are unaudited. Our quarterly report on Form 10-Q will be filed with the SEC and CSC in short order. We reported Q2 revenue of $13.2 million, up 6% sequentially and down 13% year-over-year. CPG revenue declined 18% sequentially to $7.4 million and declined 23% year-over-year, while bulk flower revenue increased 94% sequentially to $3.4 million and declined 37% year-over-year. As expected, Lowell Farm Services revenue increased 141% sequentially to $2 million, while licensing revenue declined 62% sequentially to $0.3 million. The sequential increase in Lowell Farm Services reflects revenue from third-party seasonal harvest and third-party bulk sales and the decline in licensing revenue reflects lower packaging shipments to licensees in the quarter. The decline in CPG revenue reflects our refrain from pricing reductions and an effort to reorganize our edible and concentrates product offerings. Lowell brand revenues remain strong and represent 66% of CPG revenues in the current quarter compared to 60% in the second quarter last year. While bulk flower revenue increased significantly sequentially, the 37% decline year-over-year is primarily due to significant pricing declines between years, as Lowell cultivated flower pricing was 51% lower in the current quarter compared to the second quarter last year. Bulk flower pricing seems to have bottomed in December, and we anticipate stable to modest pricing increases in the next several quarters. Year-to-date revenues were $25.6 million, a 2% decline from the previous year due principally to lower flower pricing. CPG revenues increased 4%, while bulk flower revenues declined 49% from prior year levels. As we look forward to the second half, we are anticipating growth in CPG and LFS service fees. CPG growth is expected primarily from volume increases and pre-rolls, including our new 35's product and packaged flower. The expected increase in LFS service fees reflects the impact from seasonal fall harvest, predominantly in Q4 compared to the small spring outdoor harvest activity. We don't anticipate returning to the same level of third-party bulk flower sales until this time next year. Gross margin as reported was 11% in the second quarter compared to 13% sequentially and 38% year-over-year. The margin decline from the first quarter was due primarily to lower CPG volumes, as we held pricing and reorganized our edible and concentrates offerings. The margin decline year-over-year was primarily due to significantly higher bulk prices realized in the prior year. Operating expenses were $4.5 million or 34% of sales for the quarter compared to $4 million or 33% of sales in Q1 this year and $6.2 million or 41% of sales in the second quarter last year, reflecting cost reductions realized year-over-year. The operating loss in the second quarter was $4.5 million compared to an operating loss of $4 million sequentially and operating income of $0.8 million year-over-year, reflecting lower margins in the current quarter and the favorable bulk pricing impact in the prior year. Net loss for the first quarter was $4.6 million compared sequentially to a net loss of $4.1 million, which compares to net income of $0.7 million in the second quarter last year. Adjusted EBITDA in the second quarter was negative $1.1 million compared sequentially to adjusted EBITDA of negative $0.9 million and positive adjusted EBITDA of $0.7 million year-over-year. For the first half, adjusted EBITDA was negative $2 million compared to negative $4 million last year. Turning to the balance sheet. Working capital was $14.5 million at the end of the second quarter compared to $18 million at the end of the first quarter, and the Company had $2.2 million in cash compared to $5.9 million at the beginning of the quarter. Capital expenditures of $0.5 million were incurred in the second quarter. And in July, we completed a financing for $2.4 million backed by employee retention credits earned in 2021. With that, I'll turn the call back to Mark. Mark?
Mark Ainsworth: Thanks, Brian. Let's turn it over to the operator for questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] And our first question will come from Bobby Burleson with Canaccord. Please go ahead.
Robert Burleson: Great. Thanks for taking my question. Sorry for any background noise. I guess the first one would be just trying to understand some of the research you've done on the 35's – the LF 35's launch. It sounds like you see some nice prospects there and it's fitting into – looks like a hole in the market. So just maybe a little bit more detail on what your assessment of its prospects?
George Allen: Well, Bobby, I would tell you we could go hard on this topic for a long time. We've done a lot of work on this. Really, I would generally say where we think the need comes from is really an understanding of who drives the cannabis market. And when you look at the data, of who buys cannabis today, 90% of the cannabis that's consumed inclusive of the illicit market. 90% of the cannabis consumed, we estimate is bought by the consumer, who smokes every single day. So we really wanted to understand what the use case for that consumer is, right. So we spend a lot of time trying to find that consumer because I think we talk a lot in cannabis, and it's really fun to explore the novelties of cannabis discovery for people, who haven't smoked a lot of weed or aren't smoking a lot of weed. But when you really look at the market and the big dollars out there, it – the sort of the fat pitch coming down the middle are is this – is this daily cannabis consumer. But a lot of these consumers, who are relatively heavy users, in a lot of cases, they buy from the illicit market, in a lot of cases, they buy weed at volume because they're price-sensitive, right. If you use something like cannabis every single day and some consumers smoke up to an eight a day, some of those consumers, they're super sensitive about price point. And so a lot of what was happening in the market was sort of failing from how to talk to that consumer, how to go find that consumer. And frankly, we've got some leadership on our board from the tobacco industry, and so we spend a lot of time looking at the tobacco industry and the history of tobacco industry and how the tobacco industry went from loose tobacco into cigarettes. And really, a lot of it – a lot of it came down to sort of the price point of when you can achieve price parity with flower. And if you take our flower today, our flower today an eighth of flower that we sell could be on the market for anywhere from $28 to $35. Our pre-rolls, the sort of the legacy pre-roll pack that Lowell is so well known for, that pre-roll is on the market for anywhere from $40 to $50 in California and higher in other markets. And so you really are – that product and that brand, even though it represents sort of a high watermark in terms of brand legacy, is sort of out – is priced out that, that cannabis consumer. In addition to that, we also – we really started with the fact that like during COVID, what happened during COVID was the consumers started smoking more cannabis, and we – this is pretty well documented, but you're smoking a lot – a lot more often you're smoking sort of alone. And even when you were smoking with other people, you weren't sharing cannabis. So one of the journeys that we had to go on was how to get the pre-roll smaller. And when you try to get the form factor down in terms of dosage size, what happens is your costs start to skyrocket. So the only way to really unlock the single-use serving size or sessionability of a pre-roll for this sort of daily smoker in cannabis is to try to get your cost down. And the only – really the only path to doing that was in automation. So then we started exploring sort of automation, and it sounds easy, but it has been an incredibly long journey for us to sort of crack the code on automation. And we think we think we have, and I think that the product that we're coming out with at the beginning and next month or potentially the end of this month is truly game changing. And so we're super excited about it. We think it does present that sort of daily cannabis consumer, an alternative to have fresh, really high-quality, good cannabis experience in their pocket at all times in the form of flower. So we're very excited about it.
Robert Burleson: Okay. Great. And then just on the CPG revenue, how tightly correlated is your kind of year-over-year decline there and some of the weakness you're seeing for that business to just overall same-store sales comps in the retail channel in California.
George Allen: Yes. I mean I don't have the exact data. I do know that during the quarter, we lost share. We decidedly lost share during the quarter largely in flower. And flower historically is almost an impossible brand product to really hold on to brand. But it's very hard for you to get consumers because consumers have so much more data when they buy flower, right. They have potency levels that are printed on the jar. They have the how the flower looks and the jar appeal, the bag appeal. So the brand sort of ends up being sort of far less important for the consumer, so the consumer goes into a dispensary and price tends to be a factor and look and peel and smell tend to come in place as well. But way down the list is sort of like brand. And so what that means is that as other flower producers drop price and pretty aggressively dropped price during the quarter, we sort of refrain from doing it, and that means we lost share. And the reality is we couldn't afford honestly to chase, and it doesn't make sense to brand. What you don't want to do is, you don't want to chase because pricing is a one-way street in cannabis. We've learned this too many times. If we drop our flower price, it denigrates our brand, especially on the eve of a new product launch, which we want to have an elevated brand. But then in addition to that, we know that we can never really raise prices again. And so we just made a conscious decision, and I don't know how to play out the alternative set of facts and what it would have looked like had we not – had we not held price or been so convicted on holding price. But I suspect that topline would have been healthier in CPG, but we probably would have suffered on margin.
Robert Burleson: Fair enough. Okay, thanks George.
Operator: Our next question will come from Jason Zandberg with PI Financial. Please go ahead.
Jason Zandberg: Hey, thanks for taking the question. I just wanted to get your thoughts on the elimination of the cultivation tax for California. So specifically, what would – what would it look like if it was in effect at the beginning of Q2, sort of what would the cost savings? And just generally, your high-level view on what you think this will do in terms of – obviously, it's going to be lower cost, so competition with the illicit market will be easier. But do you think that – and so what sort of impact do you expect this to have?
George Allen: Yes. I mean – so if we held on to all of it, right, if we held on to all the cultivation tax for CPG products, for anything that's flower based, it would be sort of greater than 10 point of margin shift, 10 points to 15 points of margin shift. The reality is that I think that is an ephemeral way to look at it because I don't see that margin – I don't see how that's possible to hold on to it. In fact, some of our products, we've given the savings, not all of that, we've given a great portion of the savings back to retailers, just because the fundamental issue is that you've got more supply than there is demand in the market. And so when it comes to like a big step function change, where everybody gets $1.40 off on an eighth, you kind of have no choice, but to pass that along because it's a prisoner's dilemma, the first person that does it is going to get the share. So when it came to like that change in the market, we looked at all our products and we said, how many of them are commoditized, which ones are the most commoditized. And if they're most commoditized, can we expect the prisoner's dilemma, we expect somebody else to be the first prisoner, but then we're going to get in front of it. In some of our other products like our Lowell pre-rolls, which tend to be very sort of stable and price agnostic for consumers within a relative pricing band, we didn't see the need or the feel need so much to compromise in terms of price. So there, we should see margin expansion, but it's going to – to a lesser extent because they're higher priced, our legacy pre-rolls are higher priced. So it's not quite 10 points. But I will say that we have probably been more firm on holding price there. A lot of the stuff, it will remain to be seen like how fast the market adjusts. In general, I think the case for the cultivation tax, and I think this even went to the policy decision that they made in Sacramento, the case for the cultivation tax reduction is really about trying to compete with the illicit market. And if the price – the tax cut gets to the consumer into the dispensary and the effective price drops in the dispensary, then I think – and this is a positive, then I think that there's a chance that some, some incremental wave of consumers that was making the – that were making the decision to go to illicit market could potentially be lured into the legal dispensary market and so growing the pie. And I think that's where probably the affirmative case is for the cultivation tax relief, probably more so on a longer-term basis than just a margin boost for all cultivators. And I think any cultivator that thinks that they're just going to pocket their cultivation tax relief and not see pricing degradation on the backs of it, I think that's kind of [indiscernible] especially when it comes to anybody, who's predominantly selling flower.
Jason Zandberg: That’s good color. Just can you just give some color on just your Out-of-State revenues that fell during the quarter? Obviously, you're going to get some, some help with addition of Colorado, New Mexico. Just wondering if you could address both the decline and then sort of the – what your expectations are for adding those two new states?
George Allen: Yes. So the royalty decline is obviously that's more challenging or the more concerning, right. So in our revenues, we have a combination of royalties, which are high margin, almost all margins. And then we have packaging sales, which are – I think we make five points of margin on the packaging sales. So a large – and to a great extent, and Brian showed the exact numbers, but to a great extent, the decline was accounted for by a decline in packaging sales, which is timing of packaging sales and timing of inventory. But there was also a pretty material decline in royalties, and the royalty decline is something that we're really focused on. And that's where I would say, the health of that business, I think we've suffered a little bit from some quality issues that we've seen in the market and probably a little bit of footfalls on our side in terms of brand support and to reaffirming those brand, as our competitors are sort of getting a little bit more savvy. We've added some resources locally to start to improve the brand support that we're gaining. We are seeing some traction on that so far this quarter. So I think that we have – I think that we have a good plan of action there. The quality issues that we're struggling with a little bit are just partnership issues. I think Ascend has been a great partner to us. At the same time, I think the focus that they've given the brand at times has been ebbs and flows. And so we're just trying to make sure that we get our fair share of attention from them. The brand is still the number three pre-roll brand in Illinois and sort of somewhere close to that in Massachusetts. We have a lot of potential. And really, that licensing is about getting consumers familiar with the brand and using that opportunities to sow the seeds for future product development, as well as complementing our margin profile. So I think I think we've learned some lessons from it. I think we've also – we're trying to be a better partner to Ascend and maybe being a little closer on a daily basis, as to how things are being managed over there and greatest on our report card from here?
Jason Zandberg: Great. And then just a look ahead to Colorado and New Mexico?
George Allen: Yes. So Colorado, New Mexico, I think they're probably going to launch – I think they're – we're trying to get it in this quarter. It's going to be at the end of the quarter. If it is – if it lands this quarter, I'm super excited about it. I think Colorado is just an awesome market to be in, and I see a lot of blue sky. Despite Colorado is really sort of crafty market, it's very craft, like brands are very crafty and localized. And I think there's a blue sky opportunity there to be sort of – to sort of be like a little bit bigger of a brand. And I think so that Colorado is just a market we have to be in, if you want to have street cred in cannabis. New Mexico, I think this is a good market. Schwazze has a great footprint there. I would say it probably wouldn't have been a market that we rush into, but for what's the partnership in Colorado and grateful for it, and we can't wait to be there as well. But as I said, I think the impact is likely to be much more Q4 and we'll give you guidance, as to how things are headed there. But I think it's very likely to hit towards the end of the quarter.
Jason Zandberg: Okay. Thank you, George.
Operator: [Operator Instructions] Our next question will come from Doug Cooper with Beacon Securities. Please go ahead.
Doug Cooper: Hi. Good evening, George. Just on the 35's launching towards the end of this month or early in September. Can you talk a little bit about your distribution strategy and given that this is a new product for the consumer and the dispensary, the bud tenders, have you run focus groups or like what is your strategy for roll out there? And how quickly do you think you can gain share in shelf space?
George Allen: Yes. It's really the million-dollar question, as to how fast the ramp goes. I mean what I generally tell you is like our conviction level from top to bottom in the Company, about the quality of the product, the price points and the differentiation of the product, the uniqueness of the product, I don't think that there's any disagreement whatsoever about all those testimonies. And so I think we get – we have a – we have almost unanimous consent about where we go eventually. The path to getting there is a little bit more challenging in California, in terms of predicting it. You've got a lot of retail end points that we're trying to get distribution through. We're trying to focus our efforts to a very limited number of end points, I mean retailers initially at launch because we want to make sure that consumers have a really good experience with the product. We also want to point consumers to a store that's going to have adequate inventory and volume to support the roll out. What I'll generally say is like we are pushing everything we have on a limited budget, but we're pushing everything we have behind this product launch. We think we've got all the key ingredients behind it. The big factor – the big swing factor here is going to be what's the adoption ramp look like. But from just a consumer and what the consumer is looking for, I think we've got a product that is really well tailored for this advanced California market. And I think there's also a strong belief that this product will get dragged or pulled into other markets, which we're looking forward to.
Doug Cooper: So can you give us an idea, are you going to launch in the Los Angeles area? Or is there a specific region you want to confirm?
George Allen: Yes. I mean when you really think about California, there's islands of cannabis. So we're picking somewhere between five and seven stores to initially launch and we're giving all those stores virtually bottom less inventory, basically refilling them every night as much as we can. And then we're doing a big social media push to drive consumers to those stores. And that way, we can make sure that the experience in those stores, the education level, the bud tenders in those stores, the engagement level, the social media push, the homepage takeovers, all of that stuff we can manage when it comes to a smaller footprint release and we can cover almost the entire state. So that those stores are relatively geographically diverse within the state. We haven't picked all our partners just yet, but we're in the process right now. And what we're targeting for is a store that is an 80% probability that's within a 10-minute drive of 80%, as I said, 80% of the consumer. So trying to get as much as we can, San Diego, L.A., Bay Area Cities, San Francisco and Sacramento, all of those sort of big sort of islands are going to be covered.
Doug Cooper: So can you just walk through how many machines do you have – pre-roll machines you have? What's the capacity? What's the throughput on those, do you think? And when you talk bottomless inventory, like this is inventory come from LFS or coming from – I mean, where is the actual product coming from?
George Allen: Yes. So right now, we're putting – I want to be a little careful about the – Doug, I have to think a little bit about machine count and giving – I don't think that we're going to be supply constrained. Let's put it this way. I don't think that we're going to be supply constrained at this launch. I think it's about generating as much demand as we can. I want to be a little bit careful about talking about the sort of general unit economics of the engineering product because I just don't want – we have a moat and I need that moat, as deep and wide, as I can make it. So – and recognizing that a lot of our competitors listen to the call. So what I will say is that we think we have a lot of capacity that – where demand is going to be the primary driver. I would say we are extremely excited about the launch, but we – the one thing that we're, I think, trying to be tepid about is the pace of adoption. And by the way, we're also willing and excited to hear customer feedback and iterate alongside customer feedback. We've done a tremendous amount of work on our side, getting the product right, but that doesn't mean we're blind or immune to or deaf to feedback from consumers.
Doug Cooper: And just I guess, from my identification, when you say single, this is single dose, is this like 0.3 of a gram or 0.25 or 0.2 or something like that?
George Allen: Yes. So the product – the reason why the product is called the 35's is just 350 milligrams. It basically 10 sticks to a pack, making up an eighth. We are engineering and preserving the ability to go up and down in size. So the way we think about it is the consumer, who likes cannabis sort of dials in on exactly what they think the right kind of amount of cannabis is that they want to have in each stick, right? And the price point is commensurate to that. So in the future, we'll be going smaller and we'll be going larger to give consumers, a serving size choice because one thing that we decided in the beginning of COVID, we were all relighting way too many joints, right? Like the kind of prospect of relighting weed is like one of the most disgusting phenomenon. But when you're sitting there with a one gram joint and there's nobody around to share with during COVID, it sits there in an ashtray and you either throw it out and waste a lot of weed or you relight it, and you just taste disgusting. So what we're trying to do is make sure that we're trying to create weed and sort of sessionability and that – look, it's changing the way consumers behave can take some time. But when we really look at the way our hardcore smokers perform and what they look for this product really does seem to fit them all. So we'll see. I mean, look – we're looking forward to seeing how it hit.
Doug Cooper: And just on the pricing, when you said pricing is a one-way street, so you want to make sure I guess, the launch price, you want to get it low enough to attract people, but then maybe you can't raise. So when you said Jarred Eighth is gone for $28 to $35 I think that's yours, but the Street sort of lowered and the competition lowered Jarred Eighth by 30% is already said in the quarter. So what is the pricing strategy out-the-gate?
George Allen: Yes. We're trying to get it out the door at pre-excise tax than $20. And so I think a lot of that – a lot of the reasons why we're launching with a limited set of retailers right away is we're trying to encourage the retailers to launch with sort of a more consumer-friendly keystone. And so part of the narrative for us is to approaching retailers, who are willing and working with retailers, who are willing to be a little bit more aggressive on keystone with the consumer. So we're going to cut price, and we're going to be pretty aggressive in terms of how we price it to those retailers because we – I mean, we have a lot of savings here, right? We've engineered the system here to create a lot of savings. And so we want to make sure that our consumers get the benefit of that. And remember, what you're trying to talk to, you're trying to talk to the consumer, who usually buys weed by the ounce or by the half ounce, right? That consumer is super price-sensitive and you're not going to get their attention with a $30 eighth pre-roll. It just won't happen. So we're trying to get their attention and we have the margin to do it. Obviously, margin is something that we're working very closely on right now to refine, but we do have the margin with our systems and infrastructure.
Doug Cooper: So on the back of the envelope, if yours – if there's – if the retailer is selling to me, the consumer $20 plus excise tax, what are you selling to the retailer at? And then what is your cost? Can you just give us an idea, ballpark what the margin growth well, might look like compared to your CPG product today exactly?
George Allen: Yes. So I'll give you some guidance on this. What I'll say is – it is work in progress. We do have some flexibility built into the system on pricing. We're somewhere in the top $10 to $11.50 range in terms of price out the door. And I'm going to do everything I can to get us close to $10. And yes, at $10, we're operating at a six-plus margin.
Doug Cooper: Sorry, you missed that George, part, operating at what.
George Allen: A 16%-plus material margin.
Doug Cooper: Okay, great. And then, I guess, moving to the balance sheet, $2.2 million cash at the end of June. What was the – what's the CapEx that you expect in Q3, including buying the machines, I think or was that for stock? I don't have the net, I only have the press release right in front of me, but – and then [indiscernible] yes, go ahead.
George Allen: No, if you remember – do you remember that originally, yes go ahead.
Doug Cooper: And then maybe just walk through the $2.2 million regarding – was that like IRS rebate or something else? Sorry, I didn't quite get that?
George Allen: Yes. So once again, there is still – the original All Good transaction was a stock transaction and cash transaction, the cash fees was $1.5 million. So that commitment we've funded with the cash that we had. And we also were able to bring in to factor this IRS receivable related to the CARES Act and the CARES Act basically had a provision for recovery of payroll taxes associated with the COVID burdens. So we had an IRS receivable that our company filed in, I believe in April and May of this year. And we chose to factor that receivable to an interested party in order to get some additional cash in the door to fund some of those CapEx. So the $1.5 million is through the machines, but there's also CapEx associated with our facility improvements and preparedness. And we'll give more clarity around that – but the $1.5 million is by far the biggest chunk of it.
Doug Cooper: And sorry, just my last one, I guess, would be we're halfway through the third quarter essentially. If you take a conservative launch on the 35's given what you see in the market now on the CPG market and the bulk and so forth, do you expect to be cash flow neutral in the quarter. Maybe give us some sort of guidance?
George Allen: I mean I think we're definitely going to consume cash during the third quarter inclusive of the CapEX...
Doug Cooper: Just from operations, I am talking about. I am – yes, just talking about the operations, excluding CapEx?
George Allen: What I would generally say is, I would say, third quarter, the bar will be high for us to be cash flow neutral from an operational perspective given some of the operating investments we're making around the 35's launch and launched the product out there accelerating, but and some of that will be reflective of working capital going into inventory. The market conditions for us, like what I'll generally say is our business, where bulk prices are for flower right now, the only answer for us is to gain CPG revenue dollars. I mean that's where the margin future is for our Company. So we need to gain traction in terms of more CPG and margin dollars and doing that outside of the low-margin category of flower. So that's our primary focus right now. That's really what the 35 launch is all about. I think we'll have a lot more to say about our trajectory and success in doing that this time next quarter. But I think we'll also be updating as time moves on in terms of the traction of launching them and how things are going.
Doug Cooper: Sorry. And just my last one. I think you have access to eight machines. Is that right? And you brought in three? Is that where you stand right now?
George Allen: So yes, I want to be a little bit careful about the answer. Right now, the machines that we have under contract – well, right now, we have two machines, two machines, we've got another machine coming either towards the end of this year or early next year, and then we've secured an order for more, more next year. I want to be a little bit careful about how many exactly.
Doug Cooper: And if Ascend or Schwazze says you're shooting the lights out with [indiscernible] brand now has basically switched from the new style pre-roll. Would you give them access to machine? Or are we getting ahead of our association?
George Allen: It's a really tough question for us. It is a really tough question. I think the world is changing so quickly right now in terms of cannabis. Regardless of where we are from like a policy standpoint, cannabis is moving more freely around this country. And I don't know whether or not we want this product to be – we don't know yet, whether we want this product to be something that other people control. I think it's – I think we need to learn a little bit more about our capabilities and margin profile. It's a complicated – this is a really complicated product to make, and it represents a tremendous amount of IP, a lot of which we acquired in the All Good transaction. So I'm really reluctant right now to [use the future], where we just say, here are the keys, you guys can make this. And by the way, sure, go ahead and make whatever else you want. That feels a little dangerous. So then you're left with other options. Do you basically tell the consumer, the only way you're getting this product is come to California and get it? Or do you tell the consumer we're going to make the capital investments in your home state to try to replicate the experience? I don't know. I think it's too early to say.
Doug Cooper: Okay. Great, George. Thanks very much.
George Allen: Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Mark Ainsworth for any closing remarks.
Mark Ainsworth: Thank you, again for joining the call and for taking the time to get an update on our business. We look forward to talking with you on our next earnings call.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.